Operator: Good day, and welcome to the DDR Corp. Second Quarter 2016 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Meghan Finneran, Senior Financial Analyst. Please go ahead.
Meghan Finneran: Thank you. Good afternoon and thank you for joining us. Today’s call will be led by President and CEO, Thomas August. Please be aware that certain of our statements today may be forward-looking. Although we believe such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially from the forward-looking statements. Additional information about such risks and uncertainties that could cause actual results to differ may be found in the press release issued yesterday and the documents that we file with the SEC. Including our Form 10-K for the year ended December 31, 2015. In addition, we will be discussing non-GAAP financial measures on today’s call, including FFO, operating FFO and same store NOI. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings press release issued yesterday. This release and our quarterly financial supplement are available on our website at www.ddr.com. Last, we will be observing a one-question limit during the Q&A portion of our call, in order to give everyone the opportunity to participate. If you have additional questions, please rejoin the queue. At this time, it is my pleasure to introduce our President and Chief Executive Officer, Tom August.
Thomas August: Great. Thank you. First of all, let me apologize to everybody for the glitch this morning. It was a system failure by our service provider that unfortunately we couldn’t control, so we were as frustrated as you are. Clearly is not the way I wanted to begin my tenure here at DDR. We understand there were a number of other companies that experienced the same problem, so again I apologize I know at this time of the quarter you are all pretty busy with the number of calls and this is probably pretty disruptive, but again not much we could do. So let me start, where I thought we were going to be four hours ago with introducing the participants who’ll either speak during the call or certainly be available here to answer your questions. Paul Freddo, Senior Executive Vice President of Development and Leasing. I think most of you know Paul pretty well. Secondly, Vince Corno, Executive Vice President of Development and Leasing. Vince just joined us two weeks ago along the same day I did will be working with Paul. I’m going to let Paul to explain Vince’s background and how they are going to work together in this transition period, but suffice it to say we are really happy that Vince is with us. Christa Vesy is our Chief Accounting Officer, Interim Chief Financial Officer. Christa really stepped up when Luke left and then done a lot more in the last two weeks since I’ve been here, so I’m certainly glad she is here. And Matt Lougee is here with us and Matt is sort of our Senior Vice President of everything. He does a lot of different things and today you probably recognize him mostly as the Investor Relations person. So with that, what I’d like to do is a couple of things. Number one, I want to start off with some observations that I’ve made in the last couple of weeks here at DDR. The actions we’re taking, the results, and I don’t think there is major shifts in our strategy, but there are some changes that I will outline for you. In terms of observations, I think the day-to-day operations are running really well. You can use whatever analogy you would like, the engine running fine, the trains are on time, but things are going well. And it’s not reflected on the history of the Company, it seems that the accomplishments have not been totally, but certainly partially overshadowed by the – to be honest disruption at the top of the organizational chart. And I’d like to give you a few examples and before I do I know that there are a lot of companies that have upgraded their portfolios over the last few years. I would suggest you however, that if you think where we started in 2010, the hill we climbed was a heck of a lot steeper than most companies. So just again bear with me with a few examples. We’ve sold 378 assets for $5.2 billion. We’ve acquired 201 assets for $7.7 billion. I think impressively we’ve turned over approximately 75% of the gross asset value of the Company. We’ve reduced the asset count by 48% from 665 to 349 properties. We’ve increased the asset size 52% from 221,000 square feet to 322 and we have exited 15 different joint ventures. And I think on a softer side, hard to measure and I think the quality of the tenant base in the locations have improved significantly over this time frame. And that’s kind of ancient history. When you look at where we are currently, our same-store NOI has been greater than 3% for 15 of the last 17 quarters. Our current occupancy is 96.1% and we still think there is noticeable upside both in the small shops as we mark-to-market and in the releasing of the Sports Authority space. I’m going to let Paul talk about a little bit later on. Spreads have been good. They’ve been increasing from the high-teens to low-20s. In this quarter, they’re actually 28%. So again I think overall a great solid foundation from the tenants in the portfolio perspective. So what are we doing now? What we’re doing now is mainly for my benefit to get me up to speed on the Company and I hope I’ve created a real sense of urgency here, because we’re doing a complete review of the entire operation, starting with the organization, the structure, the policies, the procedures, the culture. What needs to be changed? What needs to be modified? What can we do more efficiently? Just as an example. We’re a highly centralized Company, probably more centralized than most of our competition. Is that the right thing? The wrong thing, we think it sounds good because of the concentration we have with major national tenants, but again it’s just everything we are looking at. I have temporarily through Labor Day; put a hold on all additional mid and senior level hires of the Company. I think it’s just important before we add to the staff. I just want to make sure I understand what our structure is going to be, what the appropriate qualifications are people in different boxes and then we can look inside the Company as well as outside, so it will be a temporary hold, but it’s on hold for the time being. I’ve made two exceptions to that rule. Number one, we obviously hired Vince. Vince was in the queue when I first started. I had the opportunity to interview Vince well before I thought I was going to be the CEO of DDR. I was very impressive with him and obviously recommended in hiring him and I’m glad he is here. The second is additions to our Board of Directors. This is not in my purview directly; it’s really up to the Board and the nominating and governance committee. But with the changes that have occurred over the last 18 months or so with my now being part of management and not an independent trustee, we are down to five independents with three different committees. It’s kind of tough to staff them, so we will be adding to the Board and I hope that the qualifications of the new member will be from a different perspective to help not only the Board, but help me in the DDR team better run the Company. From the asset side, it’s great time because we’re just beginning the budgeting process, we’re looking at each asset, asset-by-asset, one-by-one, the market, the location, the quality, the tenants, the growth rate, the risk, the opportunities. Do we really want to own this asset in five to 10 years? And one of the things that become apparent and I will tell you upfront this is – we’re at the very beginning, so I don’t want to go overboard on this. But it appears like there are more development and redevelopment opportunities than we had originally focused on. And I think this maybe somewhat of a little bit of a shift in strategy. Over the last couple years, it seems like we’ve been focused on high barrier to entry, good quality properties which is great. But I think we have the capability to add value to a lot of properties through the redevelopment efforts not only of our existing portfolio, but assets we may add. So I want to continue to focus on high quality in-fill locations, but also a greater emphasis on within our portfolio and acquisitions on value added opportunities where I think we can become more of a value creator than just an investor. I try to visit a number of properties, done that on the weekends, lunch hour and on stopovers. So I’ve been to Chicago to see a few assets there. I visit some of the assets in Dallas. I visit some here in Cleveland and I’ve got a trip to Denver, schedule next week to meet our team in Denver and view some assets out there. From a capital markets perspective, I think we’re in good shape. We have nothing that we can do either opportunistically or we need to do in the next 90 days or so. There’s some refinancing opportunities in 2017. We will begin to look at those towards the end of the year, but I think we’re in a fair place right now and I’m glad we can push that off for another 60 to 90 days. In terms of major transactions, again Paul is going to talk about Sports Authority. I think that’s turning out better than we had originally anticipated. In terms of Upstate New York, those assets are still under contract, we expect a third quarter close. We are looking at Puerto Rico. We have developed and we’re developing for our Board of Directors meeting which is the day after Labor Day sort of an overall strategy session of what we want to do in Puerto Rico. I know we’ve not been very clear to the marketplace about what our strategy is there, we’re going to focus on that. Hopefully, we will get an answer from the Board and we’ll be able to articulate exactly what we want to do in Puerto Rico. While we’re looking at all our assets, we are also creating another list of priority assets that we may want to sell in addition to or in place of renewing some of the ones we already are thinking about. So we’re doing that priority list as we look at each asset. In terms of joint ventures, they’re two that are sort of upfront and center, one is, one that we call Manatee. It’s a 55 asset funds with six other funds in it, we have 20%. It started in 2007. It’s coming up on its 10-year life. So those assets will probably be sold. I’m guessing it will be a late fourth quarter or probably into the first quarter sale. There are two factors I think people need to think about on that venture. One, as we collect $8 million to $10 million of fees that’s over $0.02 to $0.03 per share in fees, but I think more importantly we have a right of first refusal on any assets that are sold. So given that flexibility we are just looking at all of the combinations and permutations of what might be best for DDR with that portfolio from letting it wind down and selling it. They are buying a few assets. They’re buying the portfolio with others who might take assets that are not consistent with our strategy. Again, I think that’s something we’re working on right now. We’ll just follow that as the sale process proceeds. The second is Blackstone joint venture, $2 billion investment total. We have 5%. We have obviously a lot of preferreds in there which are I know you talk about quite a bit. We don’t control that sale. There were some assets that we maybe interested in. We don’t control the sale process. So we’re just kind of like hang around the rim, see what happens and see if when something does happen we can take advantage of it to DDR’s benefit. And then of course what we’re doing is taking all these combination, permutations, trying to add them up, subtract them and sort of see how it affects our balance sheet, mainly our leverage in our NAV, but also we recognize the hits that it maybe to earnings, we’re just kind of looking that and trying to balance at the best way we can. I’m not sure that any of you are expecting guidance for 2017 on this call, but given that I’ve been here two weeks and given all that’s up in the air, we certainly are not prepared at this point to give that, we’ll do it at some point in the future. The other thing I’d like to talk about is the role of JV’s with DDR. I think joint ventures certainly play a role in our capital structure, but on the other – especially from time to time given our cost of capital. But on the other hand, there’s only 24 hours in a day and as someone once told me you only have so many mental calories to spend. And I’d like to spend our mental calories on assets that create the best value and the most value for DDR. I think the fee income is great, but I’m more interested in creating value with the asset level. So again I think joint ventures have a place at DDR, but we need to be a lot more selective than we’ve been in the past. So what are we trying to do? What we need to do is finish up this transition period and what I call Phase I of our transition story. It’s been a long slog. We’ve been at it for six years. We’ve done a lot. We’ve got some to go. We need to sell some assets. We need to get our debt done a little bit. And we’re probably a little bit late in the game, but we’re moving ahead, we’re going to get this done pretty quickly. And then what we need to do is think about how we’re now thinking about joint ventures, how we’re now thinking about Puerto Rico, how we’re now thinking about redevelopment and develop, articulate and begin to execute on the long-term strategy that shows our constituents starting with our employees, our shareholders, our partners. Why you should own. Continue to own or own more of DDR stock. I think we’ve got a great floor as I said at the beginning in this presentation. And I think we now need to take our eyes of the floor and begin to look up to the ceiling to see how higher upside is. I just like to end my little pitch here with one comment. As you can appreciate over the last two weeks, there has been a lot written about the change in the CEO role here at DDR and one of the comments is that I personally don’t have retail experience and I think that’s a valid comment. I’ve been in the real estate business for 44 years, most of my experience has been in office and then to a certain degree, a lesser degree than that in industrial. But I don’t think as I see here today is that retail expertise is a pressing need for DDR. When I see Vince joining us, working with Paul, a very long transition period, the rest of the staff we have here, Paul’s team. I think we’re in great shape. Now that’s not to say, look at - I want to say right now. We can always use good, smart motivated people retail expertise or not. So if you know any good, smart people who want to join DDR tell them to call me, we will find a place for them. We’re going to give them a great opportunity, but retail we are set. The need here in my opinion is stability at the CEO level, filling a few senior positions we have, leadership in developing a strategy again to convince you why you should own this Company. So I will learn the retail business. I will work hard. I’m going to do my best to deliver on those promises and what we need at DDR today. So thank you Paul.
Paul Freddo: Thanks, Tom. I would first like to elaborate on the announcement of Vince Corno, joining DDR two weeks ago as our new Executive Vice President of Leasing and Development. Vince has been in the retail real estate industry for nearly 25 years and brings a wealth of knowledge about the retail sector after previous roles as Senior Vice President of Real Estate at DICK’S Sporting Goods, Saks and the May Company as well as Vice President of Development at Forest City. He is an extremely well-known and respected figure in the retail real estate industry with extensive retail and landlord contacts. Vince will report to our CEO, Tom August and fulfills our succession plan with the optimal candidate. As I wind down my tenure here at the Company during the first half of 2017, my plan is to familiarize Vince with our portfolio, our people, and our processes in order to ensure an orderly transition of my duties to Vince upon my departure. In fact, next month we will conduct our multi-week portfolio review process in order to analyze the strategic plan and long-term prospects for each asset. Given Tom and Vince’s recent start, we will also use it as an opportunity to introduce them to the portfolio and further develop future growth opportunities across the portfolio. We are excited to have Vince on Board and we fully expect that you will be as pleased as we are with his knowledge of the business and his ability to sustain and improve upon our consistently strong operational results. Turning to the quarter, I was very pleased with the performance of our team and the result they delivered and equally as pleased to see how [indiscernible] portfolio upgrade continues to flow into strong operating metrics. We produce same-store NOI growth of 3.1% which consisted of domestic NOI or 87% of the same-store pool growing at an impressive rate of 3.7% attribute to the strength of the portfolio after our multi-year transformation. Puerto Rico same-store NOI was negative 0.5% an improvement from last quarter, but still causing a drag on the overall same-store NOI figure by approximately 60 basis points. For the year, we see no shift in our original same-store guidance range of 2.5% to 3.5% inclusive of the Sports Authority impact which I will discuss shortly. Year one rent per square foot on new deals which totaled 430,000 square feet in the quarter was in excess of $20 per square foot and the second highest starting rent on new deals in Company history. Inclusive of renewals, the blended rate per square foot was the highest total in five quarters and 17% above DDR’s average rents signed since 2009. While the composition of our portfolio with a disproportionate amount of box square footage does not compare favorably to other retail property types in terms of in-place rent. The continued upward trend in starting rent is material and indicative of the portfolio upgrade. As you have seen from DDR over the past few years, we have not chosen the path of simply buying shopping centers with attractive demographics or high in-place rents as these characteristics alone do not directly translate into value in the private market. Instead, we have sold weak assets and bought prime assets with attractive growth regardless of in-place rents. As a result, we have grown the rent per square foot of the Company at an annual rate of over 4% through both organic growth which was evident this quarter and through selling lower quality assets. We would expect a continued upward trajectory of this metric in future quarters. The lease rate for the quarter was flat on a pro rata basis at 96.1% as we absorbed two rejected Sports Authority leases. However, we continue to show great progress, leasing small shop space with a 20 basis point improvement over the first quarter and a 170 basis point improvement year-over-year. We continue to be encouraged by the number of new credit worthy concepts looking to expand into small shop space and expect that trend in addition to fewer move-outs to continue to positively impact net absorption for our shop space. The final two points I would like to address on the quarter are on regards to new lease spreads and the bumps associated with those leases. In the second quarter, we achieved a new deal spread of 28% the highest on record for DDR in 30 quarters. Recent trends and future expectations point to continued spreads in the mid-to-high teens or low 20% range on new leases and high single-digits on renewals. Additionally, the 103 new leases signed in the quarter have a compounded annual growth rate of 170 basis points significantly higher than the portfolio average of approximately 125 basis points, and representative of a very focused initiative from our leasing team to drive annual increases beyond historic norms and provide a future benefits to same-store NOI. Turning to the Sports Authority news, as you know the retailer filed for Chapter 11 bankruptcy protection in March and was the first sizeable bankruptcy in our space in recent years. The eventual liquidation highlighted the dramatic shift occurring in retail and the difficult environment for achieving and sustaining both profitability and relevance to the consumer. On the bright side, the bankruptcy provides DDR with an excellent opportunity for us to showcase not only the work we have done in recent years reducing exposure to weak credits. But going forward, it will highlight the quality of our portfolio as we make progress on backfilling the 13 boxes. Regarding our exposure, we have 12 boxes in wholly owned centers and one in a 5% owned joint venture, totaling 70 basis points of pro rata base rent well below the sector average. All 12 of the wholly owned boxes are in prime or prime plus centers with seven of the 12 in our focus 50 prime plus portfolio such as Shoppers World in Boston, Perimeter Pointe in Atlanta and Midtown Miami. Demand for this space is robust highlighted by the purchase of the designation rights by Dick’s Sporting Goods, T.J. Maxx and Burlington are four of the Sports Authority leases during the recent auction process. Despite our minimal exposure having four designation rights purchased was the highest amongst all of our peers and indicative of the quality of these locations. We expect Sports Authority to return the remaining nine locations to us in the immediate future and we do not expect to receive rent after July for those rejected locations. This will cause downward pressure on second half 2016 same-store NOI to the magnitude of approximately 80 basis points in the third quarter and 100 basis points in the fourth quarter and first half of next year. As I mentioned previously, this impact is and has been contemplated in our full-year same-store NOI and FFO guidance. I would also like to note that in the first quarter, we did not reserve for the majority of March rent as we expected the balance to be collectable at the conclusion of the bankruptcy process and our position has not changed. We look forward to updating you on a future calls about the releasing of the remaining nine boxes as our leasing team pursues best-in-class sporting goods, off-price apparel, beauty and specialty grocery retailers. Next, I would like to briefly address Puerto Rico. Well, we are encouraged with the recent progress made by the U.S. Congress to intervene, there is little new news to report on a micro level that is material. Although, we did see a 100 basis point improvement in same-store NOI since last quarter. As Tom mentioned, we’re reviewing the overhangs such as Puerto Rico that are associated with our Company and expect that senior management, the Board will conclude on the most thoughtful path for shareholder value creation over the long-term. With that said, our leasing and development teams remain laser focused on maintaining cash flow stability and even exploring ways to grow on the island such as the $12 million expansion of Plaza Del Sol to accommodate the island’s first Dave & Buster’s and the island’s second H&M which will be opening this quarter also at Del Sol. We remain encouraged by the health and sales of the majority of our tenants and we will continue to provide updates on asset level performance going forward. The final item I will discuss is our development pipeline. As you will see in our supplemental, we have transferred Lee Vista Promenade in Orlando to operational as the vast majority of the project is now online. We’re encouraged to report that our legacy pipeline now consists of only Guilford Commons outside of New Haven. 97% of the estimated cost of $69 million has been spent and 70% of that spend has been placed in service, but stabilization expected in the fourth quarter of this year. While centers like Guilford and Lee Vista are high quality prime shopping centers that DDR will own over the long-term. The dilutive returns associated with these deals are sub optimal and we’re pleased to report that we’ve quickly approaching the end of that legacy pipeline. Additionally, in the second quarter we also sold a parcel of land in Jupiter, Florida that was originally slated for ground-up development. This sale is an example of how we will continue to chip away the legacy land bucket which currently consists of $44 million of non-income producing assets all of which are being marketed for sale. As a result, we are pleased to report that we have decreased the amount of consolidated land and CIP as a percentage of gross asset value from 10.7% in 2008 to merely 1.7% today. A change that significantly decreases our risk profile and ties up much less of the balance sheet in non-income producing assets. Notwithstanding the conversation surrounding legacy development, we will continue to move forward with our redevelopment pipeline which provides us with over 100 million of spend annually at attractive returns in the 9% to 10% range and additionally pursue a strategic discussion with Tom, Vince and the Board regarding where ground-up development fits in DDR’s strategy going forward. And I’ll now turn the call over to Christa.
Christa Vesy: Thank you, Paul. For the second quarter, operating FFO was $122.4 million or $0.33 per share, which is a 6.5% increase over the prior year. Including non-operating items, FFO for the quarter was $120.3 million, also $0.33 per share. Non-operating items related primarily to land sales. During the second quarter, we also received approximately $3 million of additional management fee income related to the amendment of our asset management agreement with one of our joint venture partners that provided for a one-time payment upon execution. This payment is a non-recurring event and recurring quarterly fee income for the remainder of the year should continue to be in the range of $8 million to $8.5 million which is inline with our original guidance. When adjusting for the wind down of our commingled joint venture, the DDR domestic retail fund which is projected for year-end 2016, recurring quarterly fee income should be approximately $5 million. Additionally, as Paul discussed in detail, the timing of the Sports Authorities auction process pushed all rent loss associated with that bankruptcy from the second quarter and into the third quarter, given both of these items as well as the slight delay in the closing of our asset sales that are under contract. We are increasing our full-year operating FFO guidance range by $0.02 at the midpoint to a range of a $1.23 to a $1.26 per share. Turning to transactional activity. We closed on the sale of three operating assets and three land parcels for $58 million at our share during the second quarter, bringing full-year disposition to $282 million with an additional $505 million under contract. All of the operating assets under contract for sale are expected to close in the third quarter. Notably the portfolio located in Upstate New York comprises approximately 80% of the assets under contracts and the potential buyer has significant capital invested in due diligence. Currently the buyer is working to finalize debt financing which is progressing. Although it is taking longer than anticipated the expectation is at the sales to close in the third quarter. While these assets do not necessarily fit DDR’s investment strategy, we are confident that we would have alternative disposition options if this buyer is unable to close. Assets sales under contract and close year-to-date totaled $787 million at our share which is in line with the high-end of our original disposition guidance of $600 million to $800 million. These assets are fully occupied institutional quality shopping centers that average 200,000 square feet and carry a weighted average cap rate in the low-to-mid seven. However their low growth profile and locational qualities are not representative of the type of assets DDR wants to own long-term. While the management team will be conducting portfolio reviews over the next few weeks, we finally believe we are at the end of the major disposition process outside of purely opportunistic sales. We are also under agreement to acquire to power centers located in the high barrier to entry markets of Chicago and Portland for a combined value of $168 million. Both centers are expected to close in the third quarter and will bring total annual acquisition volume to $229 million approaching our original acquisition guidance of $250 million and fully funded with the disposition proceeds. The remaining $550 million of expected net transactional proceeds will provide enough liquidity to fund continued debt repayments and allow us to lower debt-to-EBITDA by 0.5 to 0.8 times to reach mid-6 level by year-end. In the second quarter consolidated debt-to-EBITDA sell by approximately 3.3 times to 6.66 times which is within 0.2 times of our previously stated year-end goal. In addition to reaching a post-recession low for debt-to-EBITDA and a post-recession high for fixed charge coverage ratio this quarter we are confident that our risk profile and the quality of our EBITDA stream are well-positioned for both bull and bear markets going forward. With that said while senior management and the Board will be discussing the optimal balance sheet strategy in the near-term. We would fully expect that additional deleveraging past 6.5 times should occur. There continues to be no need to access the capital markets in 2016. Following the close of the assets under contract we will have completed all necessary dispositions and will return to a normalized level of opportunistic transactional activity. However, two headwinds to earnings remained despite their strategic merits. The first is the imminent wind down of our commingled joint venture, the DDR Domestic Retail Fund. We have a 20% interest in the 55 assets held in the fund which was originated in 2007. The 10-year mortgage debt encumbering the assets creates the natural expiration of the venture in 2017. We have articulated to the market that we expect the culmination sale of the fund around year-end resulting in a loss of $10 million in fees going forward. It is worth noting we do have a rope around the portfolio that provides us flexibility and whether or not we stay involved on all or portion of these assets. We are conducting a strategic review of our options involving this venture. It includes the wind down of the venture with no future participation. Continuing equity ownership and/or management of the assets or purchasing a select group of high quality power centers that align with our investment thesis. The second headwind is the long-term outlook of our joint venture with Blackstone. It is an overhang given the preferred equity component and portfolio quality and DDR and our partner will look for an exit at a yet to be determined point to achieve their returns and clean-up our structure. The timing of asset sales as well as any eventual liquidation is fully dictated by Blackstone. Our economic interest in venture of assets are minimal 5%, but the fund generates the significant amount of management fees as well as interest income tied to $400 million of preferred equity. I will now turn the call back to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Alexander Goldfarb with Sandler O’Neill. Please go ahead.
Alexander Goldfarb: Thank you. Good morning. Sorry, good afternoon. Originally it was good morning. Good afternoon, Tom and team. Tom just a question here, it’s a two parter, but it involves the same element. If you can – one, you talked about stability and the need on the portfolio and investment side to create some stability with the various investments, so on one hand originally prior management had spoke about nearing the end of the clean up and you outlined what sounds like there maybe a lot more cleanup to go. But the second part is at the C-suite level in the past seven years there’s been three CEO’s, so how do you bring stability to the C-suite. So one is on the investment side stability and the other one is from a leadership standpoint stability?
Thomas August: Maybe I misspoke, but I tend to try to say that we are near the end, but we just got to hurry up and get there. We are dragging this out a lot longer than we had hoped and I think that everybody is looking for us to finalize the last few sales to get over the hump, but I don’t think it’s more to do I think we just want to do it quicker. In terms of the C-suite I’m signing a three-year deal. I’m here and I think we want to add people to the – we added Vince, we’re adding others to stabilize that, so I don’t see any contradiction in terms. We just need to get it going to be honest I’m the fourth CEO not the third.
Operator: The next question comes from Christy McElroy with Citi. Please go ahead.
Christy McElroy: Hi. Good afternoon everyone. Tom, you’ve been doing a more in-depth review of the Company and its strategy, what’s driving that decision. Is that from your take on what you’ve seen since you became part of the management team in the last few weeks or - and a deeper review is needed or is that more Board driven as the result of any prior concern. So what does have happened regardless of David’s termination?
Thomas August: Well, I mean it happened because I’m unfamiliar I joined the Board in May, so I attended one meeting and I just felt before – to me is where are you, where you want to go and how do you get there and before we decide where we want to go, how we get there, I’ve got to figure out where we are, so I just wanted to do a quick and an in-depth analysis I could have sort of the whole Company from the asset side, the liability side, and the organizational side so we could make more intelligent decisions on how to proceed both organizationally and with our strategy on the assets.
Operator: The next question is from Michael Bilerman with Citi. Please go ahead.
Michael Bilerman: Yes. Tom, I’m just curious I know there was no severance charges related to David’s termination, but were there any costs in the quarter or anticipated in future quarters just regarding the whole termination process and I wasn’t sure if there was any sort of outstanding lawsuits from either David if he ever filed for wrongful termination or from potential third parties whether they be internal or external that may have been a reason or part of the termination process?
Thomas August: There are no lawsuits that we know up for sure; I mean nothing has been filed. We don’t anticipate any. We don’t anticipate reserving for anything in our cost to date if we’ve incurred some have been very minimal.
Operator: The next question is from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi, thanks. Tom, you mentioned there being more of both development and redevelopment opportunities and the Company you may have realized previously. Is the development you’re talking about expansion opportunities of existing centers or is this ground-up development, new sites with existing land, just looking for some clarification. And then can you comment on how much more sizable you suspect the opportunity might be over time?
Thomas August: Well, number one I would tell you that we are not talking about necessarily ground-up, the real focus was on the development within the portfolio. I’m going to let Paul comment on the size, but again all I’m saying is just from the beginning of our review with some of these assets there are more opportunities that we identified than we had previously thought and since we haven’t gone through the portfolio, it’s difficult to quantify the excess over what our original estimates were.
Paul Freddo: Todd. Yes, this is Paul. One of the things, we got a great advantage with the timing with Vince and Tom just coming on with this portfolio review, which is an extensive review of every asset in the portfolio which will be doing over the entire month of August, but really the way I look at it is and we’ve accomplished quite a bit, we’ve been somewhere around $600 million on about a six-year program and redevelopment with yields that average somewhere north of 10%. This is a fresh look at the portfolio because we do realize that redevelopment is one of the greatest ways we’re going to grow this Company and it’s a skill set we have, we will look at ground-up, but as we have talked about many times on these calls, it’s not a significant mover of the needle for us or anybody else in the industry. So skill set we have. We will maintain it. We will look for opportunities. We’re going to remain very disciplined and how we might go after the ground-up side of it if at all, but that’s something that as we get through the process of reviewing the portfolio and what our skills are and where we want to go, we will come up with a better determination. One of the things we have talked about very early on that we haven’t really focused on since we started this redevelopment program years ago was value add opportunities. Again, I feel very strongly that’s a skill set we have here at DDR, we should take advantage of it. Tom alluded to that in his prepared remarks about creating value versus just buying quality assets that [indiscernible]. So we’re going to look at it all. Fresh eyes on it, Vince had some development experience in his background with Forest City here in Cleveland and he seen it all from various retailers side. So it’s a good healthy look at the entire portfolio and see where we can go with it.
Operator: The next question is from Vincent Chao with Deutsche Bank. Please go ahead.
Vincent Chao: Hi, everyone. Just curious in terms of the stability of the organization. Just curious if you could comment on sort of the morale of the group given the suddenness of the change here as well as any thoughts on potentially reallocation of sort of the human capital as you think about the organization?
Thomas August: Well, I’m obviously biased, but I’d like to think that the morale is pretty good. I mean clearly when you walk in at Monday morning and make an announcement that your CEO is no longer here, there was a bit of what the heck happened and a bit of a shock. But my focus is not been on and I’ve tried to be really diligent. I’m not looking back over my shoulder, I’m looking forward and I’m trying to convince everybody else that there’s still great opportunities here at DDR. We got a lot of things going for us. We’ve been through a lot of organizational changes, I can’t argue that, but if you look forward the opportunities look pretty bright and let’s do that. And I think that again from my perspective and I’m biased because I’m trying really hard to do this, I think the morale is good. And the capital – I don’t know, we got a lot of good people. I just need to understand it, we’re going to finish that process up real quick. I don’t expect a lot of reallocations, but I just want to make sure I understand what everybody’s position is, what they do the skill set et cetera, et cetera. So I think we’re well on our way to that.
Operator: The next question is from Haendel St. Juste with Mizuho. Please go ahead. 
Haendel St. Juste: Hey, good afternoon. So, Tom maybe you could expound or clarify a bit on the comments you made about potential sale of Puerto Rico asset. It’s been something that’s been contemplated for a while at DDR, but as I understand it, there’s been less interest in the DDR’s part in selling the best assets on the island, Plaza Del Sol, which I’m sure would garner interest, but that’s one you’d be probably more willing to sell, the bottom rung. There’s not much of a bid there. So can you give me a sense of what you’d like to do and how maybe the Puerto Rico portfolio looks in a couple of years as you get to execute how you want. And then maybe some sense, current sense of what cap rates are on the island for the better and then maybe the bottom tier assets?
Thomas August: Haendel, let me first suggest that I think I better discuss our strategy with the Board before I discuss it with you. As I said in my remarks, we are preparing a presentation for the Board. This is going to be a Board decision on the strategy and you’re right we have talked about some of the low quality, the high quality, no quality, all the quality. And I think to be honest more appropriate to review this with the Board and make sure I get their perspective before we comment on exactly what we want to do.
Operator: The next question is from Jeremy Metz with UBS. Please go ahead.
Jeremy Metz: Hey, guys. I know you talked about a hold on hiring for the time being, but one of the holds following Luke’s departure was that sort of CIO role. So just wondering if you give us your views there and if that’s the spot you’ll be looking to backfill down the road and then maybe bigger picture Tom your thoughts on the current G&A load of the Company?
Thomas August: Again, clearly that was an empty – it’s a spot that’s been empty which again probably 30 days before we figure out our structure and if that’s the position we need we’ll look internally and then go externally I mean clearly I think what is for sure. We want a senior person whether here or outside who can access deals, has good financial background, and can help us execute our strategy of growing the Company. Once we get over this review, we’ll see if we have that person internally if we don’t will go outside, but we’re going to make those decisions pretty quickly, but I think it would just been a little bit rash to go out and start hiring people before I understood who is here and what exactly our structure was.
Operator: The next question is from George Hoglund with Jefferies. Please go ahead.
George Hoglund: Yes. I was wondering if you could comment a little bit more on sort of the delay in asset sales. I guess one with the upstate portfolio is that delay just - purely just because of problems with getting financing and then also are there any other sort of broader delays on asset sales in the portfolio? And if so kind of what’s driving that?
Thomas August: Number one, I don’t think there’s any just broader issues for the delay, this is a big portfolio, it’s a lot of different assets. I think it’s just taking time given the flexibility that the buyer wants to have with his financing to put the pieces all together. We know that they’ve been spending money, they probably in excess of the million dollars I’m guessing I don’t know the exact number. They’re certainly following through on their due diligence. So I think it’s just an overall look at we like good - they want good financing, they want flexibility and they’re taking their time and putting that pieces together.
Operator: The next question is from Floris van Dijkum with Boenning. Please go ahead.
Floris van Dijkum: I was going to ask you Tom what has surprised you the most since you’ve been at the organization on the positive side and also where do you think you’ve got maybe the most work to do?
Thomas August: Well, I think on the positive side to be honest, I was - again I’m not you know we’re not unique, okay I’m not trying to say we’re unique. But the amount of change that has occurred in this Company since 2010 has been enormous. Now we often had a bigger hill to climb, but the amount – it just surprise me and it surprise me to be honest how well the team and the organization has worked given to be honest the dysfunction at the CEO level and that has really surprised me. And I think what’s - I don’t want to say which takes the most work, but I think we’ve been so focused on sort of fixing things that we just going to turn our attention to how we’re going to grow. Because we just got a little more to go to get over the goal line and then we’re going to grow. And we just need to be able to shift as they say in politics we need to be able to pivot. We need to pivot towards the growth strategy from sort of fixing the balance sheet.
Operator: The next question is from Richard Hill with Morgan Stanley. Please go ahead.
Richard Hill: Hey good afternoon. Just a quick question I know you’re still thinking about how you are looking to position the Company. But I’m just curious just from your vantage point. Would it be something that you’d be looking at running a much smaller portfolio of assets? Overall I know in the past DDR is highlighted that your top 100 assets contribute about 50% of your NOI. So how are you thinking about that being in the [indiscernible] and I recognize you’ve only done this seat for a couple of weeks?
Thomas August: Oh! Please recognize that this comment comes from someone who’s been only two weeks to it but I don’t think we’re focused on size, we’re focused on the bottom line for our shareholders and if it means we grow, we grow that means we shrink, we shrink. I mean I don’t think to be honest given a lot of thought to the size as being a factor in how we want to position the Company. It’s really is what we’re focused on it we’re going to create the most growth for the Company and create the most accretive for our shareholders and the size has not been a factor or something we really spent a lot of time thinking about yes. Maybe I will as we go forward but certainly not yet.
Operator: The next question is from Jeffrey Donnelly with Wells Fargo. Please go ahead.
Jeffrey Donnelly: Good afternoon. Tom, I recognize you need to be sensitive, but I’m curious what was it about the DDR culture that brought us to this point? And how significant could administrative changes ultimately be to assure that the organization gets to a place where you think investor confidence is restored and I guess if I could in sort of follow-up. Just over the past few years under prior CEO’s DDR kind of flirted with various satellite office locations, New York, Chicago. For whatever reason just given the opportunity you have now to sort of re-staff the C-suite, you know, are you going to contemplate locations outside of Cleveland for the organization?
Thomas August: Well, we have a few already, number one – let me answer the second part first. We have a few already. And secondly, as I said in my opening remarks we’re pretty highly centralized, we’re analyzing whether that’s the best model for us. It seems to be because of our concentration with our top 20 or 30 tenants, but that’s something that we were continuing to analyze. What got us to this point I really don’t care. I really couldn’t care less what got us to this point. Here is where we are today and we’re keeping our eye looking forward, I have no interest in looking backward. If it could be helpful, I would, but I’m not sure it will be helpful so I’m just looking forward. And what happened in the past, happened in the past that’s not my concern and I’m here to fix whatever is where we are from today going forward.
Operator: [Operator Instructions] The next question comes from Chris Lucas with Capital One Securities. Please go ahead.
Christopher Lucas: Yes. Good afternoon, everyone. Welcome Tom. I guess I wanted to touch on one of the topics that you mentioned, which was filling an independent Board seat you vacated. And I guess the current Board members have a great deal of private real estate expertise and tenure. I guess I was wondering what kind of characteristics or background are you looking to backfill that independent Board seat. And then maybe on a second part just from your perspective, does your move to management negatively or positively impact your ability to make organizational changes from being an independent Board member in your view.
Thomas August: Let see, number one, the Board qualification, you’re right, we’ve got a lot of real estate expertise. I think there are other things that – first of all let me check this is the dominating government committee decision, not mine. I will certainly try and influence it the way I think we should do it, but it’s their decision to make. And I think whether it’s a retail, whether it’s a financial expert, but certainly someone I think we have plenty real estate expertise. So someone with a different perspective that again as I said in my opening remarks will help the Board and help me and the team run this Company better. So different than a real estate expertise, retail, financial that comes to mind, but we’ll see. In terms of the decisions I think I have more influence. My position is that the Board is involved in the Board level decisions and then I am running the Company and there’s a lot of decisions that are – they’re my decisions to make and I will certainly make them in consultation with the Board because I value their input, but ultimately they’re my decisions to make and that’s the way we’ll make them.
Operator: The next question comes from Stephen Sakwa with Evercore ISI. Please go ahead.
Stephen Sakwa: Thanks. Good afternoon. Maybe this question is for Paul since Tom you’re obviously very new and maybe don’t have this history, but in terms of the redevelopment and trying to I guess want to speed those up or you found more of them and going through the review. I guess I’m trying to understand maybe why those weren’t brought to light in the past or what’s – I guess what made you uncover them today versus a six months ago, 12 months ago, 18 months ago?
Paul Freddo: Steve, we haven’t uncovered anything in the past two weeks and we do have a pretty significant pipeline of pending deals which is probably in the $300 million to $400 million range. The thought we’re trying to get across, we’re going to take a fresh look at everything in this organization starting with the portfolio and that’s going to bring to light, different ways of going about it and I mentioned the value add which is something we’ve really not focused on since we started the program six or seven years ago. So it’s not like we’ve uncovered anything in the last two weeks that’s earth-shattering or huge number. I’m very confident what we have in our pipeline and ability to deliver somewhere between $100 million to $150 million a year of redevelopment spend and then bring into service. So we’re just going to take a fresh look at it, scrub it, look at how we can do things a little differently and see where we can create more value. So it’s not something we’ve been sitting on, no lack of confidence in the folks that deliver or execute on that program, it’s really – let’s just see how we can do it better and do it quicker.
Thomas August: And Steve, just the focus – it just you know when you’re looking in one direction you kind of miss a little bit in the other, it’s not that’s been over looked, it’s just that this has been the primary focus, how do we buy high quality assets in infill locations. I think we just need to open our eyes a little bit wider and have a broader perspective.
Operator: The next question is a follow-up from Michael Bilerman with Citi. Please go ahead.
Michael Bilerman: Great. Thank you. Tom you’ve expressed this sense of urgency, this complete review of the organization you mentioned policies, procedures, cultures. I’m curious you didn’t mention a review of corporate governance and the Board of Directors and so outside of just adding an independent to the Board. You look at the Board is constructed now eight members, five have been there for an average of almost 16 years which would have covered all four prior administrations including yours or four administrations. You have two from the Germans which obviously own a lot of stock and have that right to those seats and then you have yourself as CEO. Will you as part of this review look at the Board and make a recommendation if you decide that changes need to be made and if not if you’re not going to do that why and secondarily, if your recommendation is status quo other than adding independent. Do you think that the Company is at risk from you know from a slate that’s put up that would want to see better effective management of the organization?
Thomas August: Well, let me answer the last part first I hope that better management the organization has been addressed the last two weeks. So that’s number one. Secondly, is I understand the issue about longevity of the Board members. I think unfortunately or fortunately we’re in a position now what we need to add we can’t rotate to and I think that adding too many Board members at once is a risk as well just the culture in the thinking of the organization. So A it’s not my ultimate decision. I can make a recommendation to the Board. And right now my recommendation to the Board we need to add somebody and we need to add one or two people with a different perspective than as the previous one. The previous caller suggested financial expertise and our real estate expertise and bringing some of the financial or retail expertise. So ultimately I’m sure at some point there will be a rotation right now I’m more focused on the additions and bringing in a different perspective. End of Q&A
Operator: This concludes our Q&A session and the conference as a whole. Thank you for attending today’s presentation. You may now disconnect.